Operator: Good day and welcome to the Whitestone REIT Fourth Quarter 2015 Earnings Conference Call. The Company will begin with prepared remarks and following this there will be a question-and-answer session and instructions will be provided at that time. As a reminder, today’s conference is being recorded. And I would now like to turn the conference over to your host today, Bob Aronson. Please go ahead, sir.
Bob Aronson: Thank you, Lisa. Good morning and welcome to Whitestone REIT’s 2015 fourth quarter and full year conference call. With us on the call this morning is Jim Mastandrea, Chairman and Chief Executive Officer; and Dave Holeman, Chief Financial Officer. Please be aware that some statements made during this call are not historical and may be deemed forward-looking statements. Actual results may differ materially from these forward-looking statements due to a number of risks and uncertainties. Please refer to the Company’s filings with the SEC, including Whitestone’s Form 10-K and Form 10-Q for a detailed discussion of the factors and risks that could adversely affect the Company’s results. It is also important to note that today’s call includes time-sensitive information, accurate only as of today, February 25, 2016. Whitestone’s fourth quarter and full year earnings press release and supplemental operating and financial data package have been filed with the SEC. Our Form 10-K will be filed soon. All of these documents will be available on our website whitestonereit.com, in the Investor Relations section. Today’s remarks may include certain non-GAAP financial measures. Reconciliations of non-GAAP financial measures to the most directly comparable GAAP measures are included in the earnings press release and supplemental data package. I would now like to turn the call over to Jim.
Jim Mastandrea: Thank you, Bob, and thank you all for joining us on our 2015 fourth quarter earnings conference call. Today, I’d like to discuss the highlights of our strong results for the fourth quarter and full year, our business strategy, our profitable, sustainable and scalable business model, and the large discount between market evaluation and the true value of our enterprise. Our results for 2015 continued the profitable growth trend that has been established since our leadership team joined Whitestone, and it is highlighted by a three-year compounded annual growth rate of 28% in revenue, 29% in net operating income, 40% in funds from operation core, and 12% in funds from operation core per share. In the fourth quarter as compared to the same period in 2014, we delivered a 33% increase in both revenues and net operating income along with a 6% growth and funds from operation core per share. On a year-over-year basis, our fourth quarter results mark our 21st consecutive quarter of revenue and NOI growth, our 22nd consecutive quarter of FFO core growth and our 11th consecutive quarter of FFO core per share growth. Our full year operating results are equally strong. Revenues increased by 29%, net operating income grew by 31%. And FFO Core per share increased by 13%. As we expected our FFO core guidance, for the second year straight we exceeded it. Now let me turn to our business strategy, which has produced and sustained our three-year double-digit CAGR. Our continuing path of profitable growth starts with a strategically targeted acquisition program. We begin by targeting markets with strong population and job growth and within those markets we look for submarkets that have the best demographics. We then source individual acquisitions from a deep pipeline of opportunities in those markets develop through our extensive network of relationships. As a result of this strategically targeted acquisition program, the three-mile radius annual median household income of Whitestone’s retail community centers is $75,000, which is among the highest in the industry. A recent published report by a major institutional bank stated Whitestone’s prime location were rank sixth of 20 retail REITs from their database. Our core markets are among the top growing markets the United States and our prime locations within those markets are among the fastest growing cities including Boston, San Antonio, Dallas-Fort Worth, Houston and Phoenix. Our core strategy uses our management team’s innovative methods within Whitestone’s vertically integrated structure to increase cash flow by unlocking the intrinsic value of a property from the time we make an acquisition to the time we stabilize occupancy. Across the full spectrum of our properties, many are in various stages of leasing, development, redevelopment, repositioning and operating. Our core strengths include research and data mining to find Internet-resistant retail service business tenants with strong credit who we believe will meet and provide the daily needs to the neighborhoods surrounding our community centers. Our data also provide valuable information to create tenant diversification and a well-crafted tenant mix. Our knowledge and experience creating a property-by-property tenant mix, which is to take a balanced and strategic approach has proven effective in maximizing our NOI in the expanding market cycle and minimizing our downside in a contracting economic cycle. Our core attribute is our proven ability to make our properties largely Internet-resistant from the rise in online shopping and changing consumer habits. Our roster is comprised of national, regional and local tenants that provide services to our neighborhoods that include dining, health and wellness, education, entertainment and special retail and grocery. We blend and mix our tenant base to attract families living in thriving urban neighborhoods that have busy schedules, limited social claim and a desire for quality lifestyle. Our core thesis is to fill the void and solve the problem related to the declining sales at traditional retail properties that cater to the soft and hard-good retailers. Purchases of soft and hard goods are shifting from trips to the mall to clicks on the computer. What did not change were people’s daily needs nor the supply of existing real estate properties located in or near great neighborhood locations. Turning to our profitable, sustainable and scalable business model, since 2010, we have purchased existing real estate in densely populated, high growth markets at discounted prices that we could apply our business model to capture the hidden value embedded in the upside on our properties. We retenanted at vacant boxes with multiple users. We redesigned and recreated our properties in the communities, resulting in higher sales for our tenant. We developed and trained our people to provide hands-on service to our tenants in addition to vendor and property management responsibilities. We also acquired land and outparcels contiguous to properties that we purchased and attained valuable zoning and entitlement uses for future expansions. Our business model has proven to be profitable, sustainable and scalable. Our progress in 2015 demonstrates this for the following highlights. Occupancy of our retail properties grew to almost 90%. Our tenant base grew over 9% and nearly 1,500 tenants. Our real estate grew by 24%. Our geographic footprint expanded in key Austin, San Antonio, Dallas-Fort Worth market. We launched two new developments in Dallas and Scottsdale and began preleasing. We obtained approval or entitlements that will allow us to expand our Arizona portfolio by over 500,000 rent-paying square feet, and we issued operating partnership units valued at $19 per share per unit as partial consideration for one of our 2015 acquisitions. With a portfolio of properties located in the fastest growing markets in the country, we position Whitestone to benefit from the changing purchasing patterns of today’s consumers. So now I’d like to touch upon the large discount between our market valuation and the true value of the enterprise relative to our strong operating history and financial results. One of the concerns to the market is interest rates. Whitestone’s interest expense exposure is minimal in a rising interest rate environment, because our capital stack mitigates the impact on our capital cost, with 74% of our debt at fixed rates. We have ladder maturities and an average remaining term of 6.1 years. And also because our operating model, with shorter term leases, allows increases in rental rates to match or exceed rising interest cost. Another factor that is a perceived concern in the decline in oil prices. We have seen little impact from the decline in oil prices on our operations in Houston. Among our tenants we have little direct exposure to the oil industry operators, and our tenants in the Houston retail – and our tenants in our Houston retail properties are primarily necessity-based service providers. From a company-wide perspective we have continued to diversify geographically, with our markets outside of Houston accounting for 72% of our net operating income in the fourth quarter. And one of our goals is to become a leading owner of retail real estate in each of the respective markets we enter. Other concerns are the timing of our 2015 capital raise and future sources of capital. In late June, Whitestone executed a $50 million common share offering in a bought deal format. While the timing of the offering proved not to be ideal, it provided capital for accretive acquisitions. The stock was not quickly absorbed by the market and impacted our stock price for several months after the offering caused our stock price fall out of line with the overall REIT index. Ultimately, our shares resumed trading in line with the index but never fully recovered the previous levels. We expect that over time as we transition to a pure-play real estate retail company our stock price will recover and then some. With regard to future sources of capital, in 2016 we expect to utilize proceeds from our property recycling efforts, debt refinancing, free cash flow and OP units, as we did in 2015. Today Whitestone’s portfolio from a gross book value basis is 90% retail. In 2014 we sold three non-retail properties, and in 2016 we expect to dispose of the remaining non-retail properties in our portfolio. Finally and most importantly, we simply need to continue to extol the virtues of Whitestone’s strategy that is producing our strong, three-year, double-digit compound annual growth rate. We have a forward- thinking business model that has proven to be Internet- resistant. It produces profitable, sustainable and scalable growth and is differentiated from other retail REITs. We have captured the ownership of retail real estate in a new class by taking bricks and mortar and repositioning the physical properties as destination communities to serve surrounding neighborhoods. The traction we have gained is easily seen from the approximate $70 million of annual NOI that we are – that we currently produce from our portfolio of well-located assets. We are excited about leading a refreshing new business model that is profiting from the changing consumer purchasing patterns and plan to spend the necessary time both domestic and internationally telling investors our story. We believe that as we do so prospective investors will become investors and our market valuation will be more in line with the true value of the Company. I would now like to turn the call over to Dave Holeman to present our financial results in greater detail. Dave?
Dave Holeman: Thanks, Jim. As Jim said, we had a terrific fourth quarter and year as our distinctive Community Centered Properties business model continues to deliver outstanding results. For the fourth quarter, our revenues increased 33% over the same period last year, to $26 million, while our annual revenue improved 29% year-over-year, to $93.4 million. Fourth quarter funds from operations core grew 28% over the prior year, to $9.7 million, and for the full year increased 27%, to $35.8 million. On a per share basis, funds from operations core was $0.34 in the fourth quarter, which is up 6%, or $0.02, over the same period in 2014. Funds from operations core per share for 2015 grew 13% over 2014, increasing to $0.35 from $0.20. We also generated a 33% improvement in property net operating income in the fourth quarter and a 31% improvement in property net operating income for the full year. The hard work of our leasing team throughout the year produced strong leasing spreads as well as higher occupancy levels. For the fourth quarter our team signed 104 new and renewal leases, totaling 258,000 square feet, and $90 million in total lease value or future rental revenue income. The total lease value signed for the year was a 58% increase over the prior year. For the full year, our team signed 408 new and renewal leases, totaling 966,000 square feet and $62 million in total lease value or feature rental income. The total lease value signed for the year was a 16% increase over the 2014. Our leasing spreads on a GAAP basis increased 11.4% on renewal leases and increased 4% on new leases signed during 2015. Total occupancy was 87.1% at year end, which is up 30 basis points over 2014. In our retail properties, which represent almost 90% of our invested capital, occupancy was 89.6% at year end, which is up 90 basis points over last year’s level. We have a diverse tenant base, minimizing our individual tenant credit risk, with our largest tenant representing only 2.6% of our annualized rental revenues. As Jim mentioned, we closed on $150 million in new property acquisitions during the year. As a result, our general and administrative expenses for 2015 include $1.7 million in acquisition transaction cost. Also included in our general and administrative costs for the year were $7.3 million for the amortization of non-cash share-based incentive compensation. Excluding these costs, general and administrative expenses as a percent of revenue was down 70 basis points from last year and is 12% of revenues for 2015. For the fourth quarter, excluding acquisition and noncash expenses, our G&A cost as a percent of revenues was 11.2%, an improvement of 30 basis points over last year’s fourth quarter. We continue to see the benefit on our property expenses and our overhead costs as we gain scale from our larger base of assets. At year end we had 95 employees. Now let me turn to our balance sheet. Our capital structure remains solid, with one class of stock, no joint ventures and a combination of property and corporate-level debt. Our weighted average interest rate on all fixed-rate debt as of the end of the fourth quarter was 3.9%, and our underlying debt structure remains sound, with a prudent mix of secured and unsecured debt and well-laddered maturities. During the year, we amended our credit facility, which extended and laddered the maturity dates of our revolver and our two existing $50 million term loans and provided for the conversion of $100 million of revolving loans into a third seven-year term loan. We also fixed the interest rates on our three term loans through entry into interest rate swaps, which brought our fixed-rate debt to 74% of our total debt, with an average remaining term of 6.1 years on all of our fixed-rate debt Our debt structure gives us significant support and the financial flexibility to react quickly to growth opportunities and changing conditions. At year end, we had $172.4 million of availability remaining under our credit facility. The facility also has additional availability of up to $200 million from the exercise of the accordion feature. During the fourth quarter we did not issue any shares under our ATM program. We will continue to evaluate all sources of capital to fund our growth, including recycling of capital generated from non-core property sales, additional debt, and issuances of operating partnership units similar to 2015. At year end we had total real estate assets on a gross book basis of $836 million producing approximately $70 million in annual net operating income. Our real estate debt at year end was $499.7 ratio of net debt to EBITDA was 8.95 times, down from 9.4 times in the third quarter. We continue to maintain a largely unsecured debt structure, with 50 unencumbered properties out of our 70, with an undepreciated cost basis of $585 million. We are pleased to have exceeded our funds from operations core guidance in 2014 and 2015 and are now introducing our guidance for 2016. We are providing guidance for both funds for operations core and funds from operations in accordance with the NAREIT definition. The primary difference between our guidance for funds from operations core and funds from operations is noncash amortization of share-based compensation. Our initial guidance range for 2016, both funds for operations core is $1.33 to $1.39 per share. You should be aware that our guidance reflects the asset level that we have as of year-end and does not include the impact of potential 2016 acquisitions or dispositions. Due to the difficulty in predicting the timing of acquisitions and dispositions, we are not including that impact in our initial guidance. We will update our guidance as necessary to reflect any new factors, trends, acquisitions or dispositions. Additional details are included in our supplemental data. That concludes my remarks, and Jim and I will now be happy to take your questions.]
Jim Mastandrea: Thanks Dave. And, operator, we’d like to open it for questions at this time.
Operator: Yes, sir. Thank you [Operator Instructions] And we will take our first question from Mitch Germain of JMP.
Mitch Germain: Hey, good morning, guys.
Jim Mastandrea: Hey, Mitch, right?
Mitch Germain: Mitch. I do apologize if I missed some of your comments. How many assets are on the market currently?
Jim Mastandrea: We have four properties right now and we have either LOIs or contracts on each of those.
Mitch Germain: And how do they sit relative to what your expectations were?
Jim Mastandrea: The prices are coming in probably in the 90% range of our expectations, maybe even some coming in at full price. They’re smaller properties, and the price has been muted by some of the covenants from some of the – a couple of national retailers that we have on the properties. It’s a mixed-use property.
Mitch Germain: Got you. Got you. And the type of buyer mix, I mean, who you’re dealing with, is it local?
Jim Mastandrea: Buyers, they’re mostly tax-free exchange. Buyers…
Mitch Germain: Okay.
Jim Mastandrea: Who’ve identified the properties and have to close in a certain period of time.
Mitch Germain: So is the way to think about the acquisition strategy this year, it’s going to be match-funded by sales? Is that how we should think about the way you’ll pursue new deals?
Jim Mastandrea: No, I think we’ll be – I think – first of all, our sales we don’t expect to exceed $100 million. Dave, you can jump in on that.
Dave Holeman: Yes, I guess I’ll jump in and let you comment, as well, Jim. I think, Mitch, we’ll continue to evaluate all those sources of capital as we done over the several years, I think we pointed out there will be capital from recycling we expect this year. We also have talked about the issuing of operating partnership units similar to what we did in 2015. And then there is some availability on the debt side, as well. So I think we’ll continue to evaluate all those sources and use those prudently.
Mitch Germain: Great. And then last one for me, guys, I think give or take around 17%, 18% of the portfolio rolling this year, I mean, pretty much in line with what we would expect, given the shorter lease term. But anything from the customer base, recent discussions on leasing that provides any caution or any sentiment change, or is everything just kind of as it’s been over the course of the last couple of years?
Dave Holeman: Yes, I’ll start out, and, Jim, if you’d like to jump in. I think we continue to see very good sentiment in our markets. As Jim expressed, our operating model, we come in and really make a significant change to the property. So we have continued to see good renewal rates, good leasing spreads, the businesses in our properties performing well. So no change at all to that.
Jim Mastandrea: We haven’t seen any. It takes – it has taken time. I shouldn’t say it takes time, because we’re through the heavy lifting portion, to train and develop people to think outside the box when it comes to our type of properties and our particular tenants that we’re focused on. So we’re really research driven. We look at the markets. And then we have to structure vertically the relationship between our leasing people and our property managers and the tenants that really drives that. That’s completely different from the book-for-the-broker model that most of the REITs are used to doing at conferences and things like that, where they go in and have a – where you have a retail tenant that comes up and says, hey, I need 15 locations this year. What can you do for me? We don’t have that kind of customer purposely.
Mitch Germain: Thank you.
Jim Mastandrea: Yes.
Operator: And we will now take your question from Carol Kemple from Hilliard Lyons.
Carol Kemple: Good morning, guys.
Jim Mastandrea: Hi Carol, how are you?
Dave Holeman: Hi Carol.
Carol Kemple: Good. Can you kind of give an update on the development pipeline, where you’re at, particularly with the Shops at Starwood, how preleasing’s going on that and when you expect that to be completed?
Dave Holeman: Yes, so Shops at Starwood, which is located in Frisco, which is a very fast-growing market in our Dallas- Fort Worth market, is going very well. We are over 50% preleased. It’s not a large build, obviously. It’s in the mid-30,000 range. But the preleasing has been very good, and to complete that project and final up the leasing midyear this year.
Jim Mastandrea: Pinnacle’s the same. Pinnacle is about 50% preleased, but we haven’t broke ground. We expect to do that sometime probably in the next 60 days. Both – those are our two construction projects, and they’re, combined, less than 100,000 square feet, but very, very profitable on a return-on-investment basis, in the easy double-digit range.
Dave Holeman: And both of those properties, Carol, you probably remember, we acquired the adjacent land parcels in great transactions when we bought the original property. So we have a really nice starting point with a very low cost of the land going into those projects.
Jim Mastandrea: Well, in fact, in the property called Pinnacle Phase II we acquired the land for $900,000. We’re building approximately 40,000 square feet of space on it. We’ve sold the postage stamp in the back corner of the property for $1 million and also a contribution of about $300,000 towards the improvement of the roadway going down the center. So we’ve cashed out on the entire land cost and some of the development cost and its prelease now. Small properties, but we like small properties. They just keep adding up. In fact, one of the tenants is Starbucks, who’s putting a driveway through there, a drive-through Starbucks. And we think they’re going to be serving their new alcohol menu out of that location.
Carol Kemple: Okay. And then earlier when you were talking about dispositions you said you were expecting maybe $100 million this year. Would that be just from the four properties, or how many properties would it take to sell to get to that $100 million, do you think?
Dave Holeman: Sure. So, we’ve communicated our intent to become a pure-play retail REIT. In our portfolio we have 10 centers that are flex. We currently have 4 properties that are office properties, so those add to 14. And then there’s probably two or three or four other small retail properties we’ll likely dispose of this year. So the total property list, as Jim said, is a larger number. They’re very small properties. The four properties that we currently have for sale are smaller properties, probably less than $20 million from a sales proceed on those properties, and then the balance would be less than 10% of our asset value.
Carol Kemple: So the balance would get us to the $100 million.
Dave Holeman: Yes, that’s just – right now it’s probably a little premature to talk about a dollar amount, but that’s in the range of what we expect from the dispositions this year.
Carol Kemple: Okay, great, thank you.
Jim Mastandrea: Carol, I just want to say it’s moving at the pace we expected. Properties like this in sales, they take time, and we’re exactly at where we thought we’d be at this time, which is really good.
Carol Kemple: Okay, great, thank you.
Jim Mastandrea: Thanks Carol.
Operator: [Operator Instructions] And we will now take our next question from John Massocca from Ladenburg Thalmann.
John Massocca: Good morning, everyone.
Jim Mastandrea: Good morning, John.
John Massocca: So just quickly back on the G&A, historically your G&A has kind of moved up as you’ve ramped up the business. What caused G&A to maybe tick down in 4Q of 2015? Was it something seasonal, some cost savings you found? Just any color on that would be great.
Dave Holeman: Sure. There is a little – I guess seasonal’s probably not the right word, but there are some transactions that occur in different parts of the year. Fourth quarter, for instance, we had a little lower legal costs than we had had in a prior quarter, so that’s probably the one item I can think of that would’ve been less in the fourth quarter than the third quarter.
John Massocca: Okay. And then moving on to the debt, with 25% or so of your debt still on the line there, is that something you’re comfortable with? Do you like that exposure to, sorry, that exposure to floating rate debt, given how stubbornly flat the yield curve has remained here? Or is that something you would look to term out going forward?
Dave Holeman: I think we like a balance. We have communicated we like to be in that 75% fixed rate range. We do think that having some amount of floating rate debt is smart. So I think we’re very comfortable with that level of floating-rate debt in our portfolio. As we grow, obviously we a lot of times use variable-rate debt for our growth, and then we lock down fixed rates over time. So we like a balance of floating and fixed, and then we obviously ladder our maturities, as well.
Jim Mastandrea: John, we’ve also begun the discussions with the rating agencies to look towards an investment-grade rating. So I think you’ll see us be able to do a lot of things on the debt side, particularly once we obtain that rating.
John Massocca: Okay. That makes sense. And then, lastly, sorry if I missed this, but did you say what markets the four dispositions are in?
Dave Holeman: We probably didn’t. They’re all in the Houston market. So they’re properties in Houston. Really, our noncore properties are primarily Houston. There might be one or two outside of this market, but those are the – that’s where the properties that are not retail are located, primarily. There’s a couple office buildings in Dallas, but other than that mainly Houston.
John Massocca: All right. That’s it for me. Thanks very much.
Dave Holeman: Thank you.
Operator: And we will now take a question from RJ Milligan with Baird.
RJ Milligan: Hey, guys. Jim, I was wondering if you could give a little bit of color around the acquisition pipeline, how much you guys think you can do this year, how much you want to do this year, and what markets you’re looking to focus in.
Jim Mastandrea: Yes, RJ. Thanks for calling in. Right now we have in negotiations approximately $100 million worth of acquisition. These are properties that fit our business model to the T in the Phoenix, Arizona marketplace. And when I say that it means we look for the high household income element, because that really does drive a successful service-based property. We’re also looking in Austin and in Dallas. And then we’ve had a couple of portfolios that have come our way that are fairly large that we’re now looking to see if they make some sense. Overall I think we’ve planned for around $200 million of acquisitions this year. We don’t think we’ll have any problem meeting that. We could exceed that.
RJ Milligan: That’s helpful. Thanks, Jim.
Jim Mastandrea: Yes.
Operator: And we will now take our question from Anthony Howell from SunTrust.
Anthony Howell: Good morning, guys. Thanks for taking my question.
Jim Mastandrea: Good morning, Anthony.
Dave Holeman: Good morning, Anthony.
Anthony Howell: So it appears that your TI per square foot for new leases increased significantly, to $18 per square foot, from last quarter of $8. And I think it is at the record high if you look at over the last couple of years. I understand that this one quarter doesn’t set a trend, but could you provide some color on it? Why is it so high?
Dave Holeman: Yes, thanks for the question, Anthony. I think you kind of said, obviously, one quarter does not a trend make. I do believe that. If you look at the number of leases we signed that are truly comparable, it’s a small percent of our portfolio in any given quarter. For the fourth quarter we had good leaseup in the portfolio, really moving our occupancy. With that there was a little higher transaction cost. But we didn’t see any trends that would cause us to think that that was the new norm. We like to look at the lease volume, at spreads, transaction costs, really over a 12- month period. So really from a TI and lease commission cost we’ve seen no change to our business. Our smaller tenants we’re still able to generally minimize those costs by bringing the tenants in on a little shorter leases with a low TI and lease commission cost.
Anthony Howell: Okay. So my second question is 2015 seems like NOI came in at the low end of the guidance that you set forth in November. Is there a reason why it came below your – the midpoint of your expectation? Is it because of the same-store expense that jumped 25% this quarter?
Dave Holeman: Yes, good question. So our same-store – total property same-store on a GAAP basis NOI was 3.2% for the year. I think we gave guidance in the 0% to 5% range, so you’re right. It was the low end of that. We have seen increases in property taxes in our markets. Some of that is us coming in and really improving the property. So on the expense side a little higher expenses. If we break down the same-store growth and just look at our retail properties that are in our portfolio, the same-store growth on a GAAP basis was 4.6% in 2015, so really a higher rate of same-store growth in that group of properties than the overall property mix.
Anthony Howell: Okay, that was really helpful. Just one last question for me. What are your underlying lease spread assumptions for 2016? Should we expect GAAP leasing spreads to hover around 8% to 10%, as you have done so previously?
Dave Holeman: Yes. I think our expectation is that the trend we’ve seen in our leasing spreads would continue. No reason to believe they would be different. As I mentioned, we’ve got 11% renewal leasing spreads for the last 12 months on a GAAP basis, and 4% new. I think blended that’s about a 9% range. So we would expect that leasing spread trend to continue in 2016.
Anthony Howell: Okay. Thank you so much.
Jim Mastandrea: You’re welcome.
Operator: And, ladies and gentlemen, this does conclude today’s question-and-answer session. I would like to turn the conference back over to Jim Mastandrea for any additional or comments or remarks.
Jim Mastandrea: Well, thank you, operator, appreciate it. I would like to just share with you that how we view 2016. We expect this year to be one of continued growth in assets and occupancy and profitability. This year we plan to continue to produce industry-leading financial results and position ourselves for an investment-grade credit rating. We continue to have a deep pipeline of value-add opportunities and will continue to increase occupancy and grow organically. Our focus will remain on markets with strong growth demographics. As we discussed earlier, we will utilize proceeds from the sale of noncore properties, availability under our unsecure line of credit and operating partnerships units to continue to make value add acquisitions. We also plan to continue to evolve into a pure-play owner of retail community-focused properties. And more – most importantly is to continue to tell our story to both domestic and international investors. Our dividend is solid, and we – and will be enhanced as we continue to generate incremental cash flow from our properties. Our management team is passionate. They’re committed to becoming a leader in the retail segment of the industry. And they remain focused on huge economic benefits of the Internet-resistant tenant base that brings daily needed services to surrounding neighborhoods. I’d like to thank you for another year of your continued confidence and support, and I want to invite anyone to call us or feel free to arrange for a visit to one of our properties. With that I would like to end today’s conference call. Thank you, operator. Thank you all.
Operator: And, ladies and gentlemen, this does conclude today’s conference, and we do thank you for your participation. You may now disconnect, and have a wonderful rest of your day.